Operator: Good day. My name is Victor, and I will be your conference operator today. At this time, I would like to welcome everyone to Savaria Corporation’s First Quarter 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] This call may contain forward-looking statements, which are subject to disclosure statement contained in Savaria’s most recent press release issued on May 7, 2025, with respect to its first quarter 2025 results. Thank you, Mr. Bourassa, you may begin your conference.
Sébastien Bourassa: Thanks, Victor, and good morning, everyone. So, today, we’ll start with a small recap of our Q1 results, then Steve will update us on financial, and JP will do an update on Savaria One, and we’ll follow that with a Q&A session. So, once again, I’m very proud of our Q1 results. It showed that the transformation is stable for fifth good quarter in a row in an environment where uncertainty, where all our products are USMCA-compliant, meaning that there’s no duty applicable on all our finished products. So, some of the key highlights for the first quarter. So, fantastic performance at 18.5% of EBITDA in our weakest quarter, which is always Q1 due to winter, the numbers of working days, so quite proud of our Q1. Looking back at the mirror, we can see that the last 12 months, we’re trading at 19% of EBITDA, which really showed the improvement on the Savaria One, which JP is going to highlight later. And we are getting closer to the goal of Savaria One, which was to be at 20%. As you can see in our MD&A, we did not change our guidance due to economic uncertainty and tariff noise, but just remain assured that we want to finish at the top of the bracket. So growth in North America was once again strong, 11.8%, while in Europe was slightly negative, I think the reset is almost done, and patient care at a modest growth of 2.1% after a fantastic Q4 last year. We know it’s important to grow, and this is part of the pillar for 2025, and we’re confident we’ll be able to achieve that because of new product launch, a growing share of wallet with our dealer, and onboarding some new dealer as well. So, talking about new products. We started to assemble a Luma home elevator at our factory in Mexico, which we expect sales in the coming month to be able to ramp up as we train our dealer in our sales team. The product is looking outstanding. It’s a product that will be sell worldwide, easy to install, stockable for the dealer that wants to stock it, so it brings a lot of key advantage to our dealer. Debt ratio finished at 1.5% in Q1. Now, we have available funds, at least before last night, of $254 million at the March 31, which put us in very good position to make some investment or acquisition. So talking of acquisition, you can see this morning, we have closed a small tuck-in Western Elevator. It was one of our long-term dealer in BC, Canada, and it was strategic for us as it’s continued to solidify a position in the BC area with their own direct store of Garaventa and their own direct store with Western. That’s going also to add to bring some additional volume as they were not buying other products from Savaria. Their annual sales were approximately CAD 7.5 million. So, welcome to all the new employee in BC. And as also you can see in our press release, we decided to invest CAD 30 million in Greenville to expand our factory there, so that we have a new 55,000 square foot available in the second half of next year. This is on top of the 60,000 square foot that we have free up in the last quarter in Q1, and we have started to assemble our Eclipse home elevator as of April 4. Because, with regardless of tariff, we wanted to assemble more in the U.S., and that’s what we have done in the first quarter. So thank you very much to the team in Greenville and Toronto for the speed of execution. That was an outstanding launch. So on that, thanks to all our employees in Savaria and our dealers for the fantastic Q1. Steve, financial, please?
Stephen Reitknecht: Thank you, Sébastien, and good morning, everyone. I’m excited to share some remarks regarding our Q1 2025 consolidated financial metrics. So the key highlights for the quarter include a record first quarter for EBITDA by a wide margin. Our EBITDA grew by $6 million or about 17% to $40.6 million for the quarter. As Sébastien mentioned, Q1 is typically a soft quarter for us and yet in spite of the external context and threat of tariffs, our results are very strong. Revenue growth of 5.2% with particularly strong results of 11.8% growth in North America Accessibility. Part of the benefit here is favorable FX rate movement, but this also shows that we’re well diversified. In addition, gross margin increased by 180 basis points to 37.8% and our EBITDA margins increased 190 basis points to 18.5%. These are very strong results for Q1. Our trailing 12 adjusted EBITDA margin is now 19%. And, lastly, strong cash flow with operating cash flows of up 18% versus last year. Thanks to our financial discipline and improvement in working capital performance, we were able to lower our leverage ratio of net debt to adjusted EBITDA to 1.49 from 1.63 at the end of 2024. So, now, starting with consolidated revenues for the quarter, we generated revenues of $220.2 million, an increase of 5.2% versus last year. This growth is driven by 0.8% organic growth, positive foreign exchange impact of 3.3% and an acquisition impact of 1.1%. Our Accessibility segment had growth of 6.1% in the quarter driven by an 11.8% growth in North America, partially offset by a contraction of 2.8% in Europe. North America was able to deliver constant revenues in a more uncertain market environment. We’ve made a number of changes to our sales strategy in Europe in Q1 of 2024, so we have tough comparables. But, we are very excited for the future, especially, as we introduce new products into the market, including the new Luma and the Multilift. Patient Care had modest growth of 2.1% in the quarter and came off of a very strong Q4 2024. This business is significantly project based and can be lumpy and positive news that our backlog also grew significantly during the quarter, which bodes very well for future quarterly sales. The net acquisition impact, as mentioned, of 1.1% was driven by the Matot branded dumbwaiters and material lifts, which we acquired in April of 2024. As previously stated, our consolidated gross margin for the quarter was 37.8%. This performance represents a marked improvement of 180 basis points over prior year and a 10 basis point improvement over Q4 2024, driven by continued operational efficiencies realized under Savaria One. Both Accessibility and Patient Care segments contributed to this improvement, underscoring the effectiveness of our ongoing initiatives to streamline operations, enhance margin quality and drive sustainable growth. This gross margin improvement is possible due to Savaria’s vertically integrated operating model and, therefore, more protected from inflationary pressures as well as Savaria One initiatives that are improving all aspects of the business. Adjusted EBITDA was $40.6 million for the quarter, representing the fourth quarter in a row above the $40 million threshold. Adjusted EBITDA margin finished at 18.5% for the quarter. This represents an improvement of 190 basis points over Q1 2024 and, as noted earlier, our trailing 12 months adjusted EBITDA margin is now 19%. Both Accessibility and Patient Care saw improvements in adjusted EBITDA margin. This performance enhancement is primarily driven from the improvements in gross margin, previously mentioned. We incurred $4.7 million in strategic initiative expenses for the quarter in line with our expectations. And these fees are mainly consulting fees similar to last year and will repeat for the next 3 quarters, but will end in Q4 of 2025. Finance costs were $3.5 million for the quarter compared to $2.3 million last year. Interest on long-term debt decreased by $1.4 million due to reduced interest rates on our debt as well as a lower overall debt balance versus last year. The driver of the year-over-year increase in total finance cost is a larger unrealized gain that we had in Q1 of 2024 last year versus a smaller gain in Q1 of 2025 this year, the difference being $2.4 million. I’m now going to look at and discuss the balance sheet and cash flow. So, cash flow from operations in Q1 was $31.3 million, which is an increase of $4.7 million versus last year coming from higher EBITDA. We reduced working capital by $2.2 million in the quarter coming mainly from higher trade payables. CapEx for the quarter finished at $4.7 million, which is 2.2% of sales and in our target range of 2% to 2.5% of sales. Free cash flow after debt related costs and dividends was $10.3 million for the quarter, which is $3.8 million or 58% higher than prior year. The strong free cash flow contributed to repayment debt of $7.5 million and reduced our leverage ratio to 1.49 and better prepares us for any opportunities that lie ahead. With regards to our guidance, due to continued uncertainty regarding tariffs, we’re keeping our 2025 guidance unchanged with projected revenues of approximately $925 million and an expected adjusted EBITDA margin between 17% and 20%. And with that, this completes my prepared remarks. I’ll now turn the call over to Jean-Philippe, our CTO, to provide further details on how we’re progressing with Savaria One.
Jean-Philippe De Montigny: Thank you, Steve. Good morning, everyone. As Séb and Steve mentioned, our adjusted EBITDA this quarter was $6 million or 17% higher than last year. This is particularly impressive given the context and the uncertainties that lie around it. Most of the improvements can be tracked back to Savaria One initiatives and those are balanced between commercial initiatives and cost reductions. Our top-line has been growing in North America in particular, thanks to the efforts we put in improving our operations in Brampton, in Surrey and Mexico, as well as the sales growth efforts that paid off. On the cost side, we benefited from many improvements implemented last year. So what’s happening with Savaria One? By the end of Q1, we had implemented more than 350 improvement initiatives across the business. Yet, in Q1 alone, we added 130 new initiatives to our Savaria One pipeline. Not all of those have associated benefits, but those that do added millions of dollars to our projections. Some examples of the successes we had in Q1 are the following. One is we innovated in the fabrication process of our free curve stairlift, where the welded parts used to ensure a good alignment and coupling of the rails during the installation of the stairlift is now using a new technology in process. It’s called the HandiBlock, and it ensures better alignment of the rails, a smoother ride for users, but also a simplified fabrication process requiring about a dozen less welders in [the art] [ph]. We transferred part of the bed frame parts production to our Mexico facility. We still assemble our long-term care beds in Beamsville, Ontario, but over the past months, we have been leveraging our Mexico facility to produce bed frame parts, which not only reduces our overall bed fabrication costs, but also frees up capacity in Beamsville for us to grow sales when demand is strong, like it happened in Q1 this year. We completed about 20 different procurement initiatives across all our businesses. In the majority of those, we either renegotiated price with an incumbent supplier through a competitive process or use an existing supplier at a new factory. Also, we took a hard look at our IT license cost across the globe and scrubbed those either for redundancies or better rates, and we’re not finished. While the impact is not always easy to see, we are making progress with sales growth initiatives. For example, we added about 50 new dealers to our network across Savaria and Garaventa in North America. In Europe, we won major new accounts this year for Handicare Stairlifts. And in Patient Care, our backlog is as high as it’s ever been. So some of these impacts are offset by other factors, but we are on track. These are just some examples, but in total, we implemented about 50 initiatives in Q1 this year. We also made substantial progress on three strategic fronts in Q1. The first is we launched a new through the floor elevator named Luma. The Luma is a product we developed in-house to sell in North America and in Europe. It will be manufactured in our Mexico facility for distribution worldwide. We think the Luma is a very attractive product, thanks to its slick design, its robust yet elegant construction, and the fact that it is simpler to install than competitor products. We are now starting to offer it to selected dealers in both North America and in Europe. The second is in Europe, on top of the Luma, we are now introducing the Savaria Multilift. So, the same Multilift we had in North America, but adapted for European standards. This porch lift will further enhance our portfolio and be another product that our Garaventa direct stores can sell in Europe, making us less reliant on third-party products. We can, therefore, now offer a much broader range of products for customers and dealers in Europe, as well as aligned to our one-stop shop vision. Finally, in our Patient Care division, Q1 2025 was the second quarter where we shipped our new Savaria M-Series Clinical ceiling lift. The essential model was the one most sold in Q4 last year, and this year we started selling more of the clinical version, which includes number of features like the tree down feature. We believe we now have the best ceiling lift on the market, and yet we will continue to upgrade it and launch innovative accessories in the coming months. So, what’s next for Savaria one? We have our work cut out for ourselves this year and plan to continue to execute our pipeline of initiatives in the coming months. We still have more to come on material cost reductions, on productivity improvements, and most importantly, on sales growth, as well as a couple interesting product innovations in the pipeline for this year. Given the health of our Savaria One pipeline and with the caveat that we are always subject to external market forces, that’s why Séb and Steve mentioned, we still maintain our guidance, and we’re aiming for the high end of it. So, thank you for your attention. I will hand it over back to Séb for closing remarks.
Sébastien Bourassa: Okay. Thank you, JP and Steve. I think very good update on Savaria One. As you see, we still have some traction on it, and it’s very well structured, and we are ready to be independent this year, okay, by ourselves, so that going forward, all that we have learned in the last 2 years, we should be able to continue to apply that on future business. So, I guess, Victor, we are ready for Q&A session, please.
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Derek Lessard from TD Cowen. Your line is open.
Derek Lessard: Yeah, good morning, everybody, and congrats on the quarter and the acquisition.
Sébastien Bourassa: Thanks, Derek.
Derek Lessard: So, Sébastien, I just had actually one question for me this morning. Could you maybe talk about the efforts to repatriate manufacturing back to the U.S? I guess, where you guys are right now? Maybe an update on some of the capacity you’ve got there? And, ultimately, what could this look like in a few years down the road when you’ve built this out?
Sébastien Bourassa: Thank you, Derek. Very good question and a very good report, you did this also this morning. So basically, yeah, U.S., okay, yes, right now, we have been lucky all our product or USMCA-complaint. So all our finished products, they are not impacted by duty. But we wanted to be closer to our market in the U.S., so we have we had some extra capacity in our building of Greenville. We have 200,000 square foot. We have decided to free up 60,000 square foot to be more condensed on the Patient Care. And we have started, okay, in April 4 to do our Eclipse home elevator, which is our best seller in North America. So, basically, we’re in production since the beginning of April with this product, so that’s closer to the market. So that’s the good news. And, right now, we do some production in the U.S., some in Canada, but that was our first product. The straight stairlift, they were always distributed from Greenville, so they discontinued. And, now, we still have a lot of square footage available. But we always try to think about the mid- to long-term, right? So that’s why this investment of 60,000 square foot will bring up here 115,000 square foot of manufacturing capacity for the accessibility. Now, we have two big factory in Surrey, in Vancouver and Toronto. We’re always think about the future, but definitely, as we expand, think we can have a secondary line of products that we’ll be able to make locally for certain environment. And the success, now we have 12-factory worldwide. Sometimes they sell to each other. We do some subcomponents in Mexico and China and Canada. That’s what made the success of Savaria to be local, but worldwide at the same time.
Derek Lessard: Yeah. Thanks, Sébastien. Very helpful. That’s it for me and congrats again.
Sébastien Bourassa: Thanks.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Michael Glen from Raymond James. Your line is open.
Michael Glen: Hey, good morning. So just looking for an update as to stairlift sales in North America. Have you been able to make any gains with market share, with dealer penetration? Just looking for an update as to how you see that business evolving over the coming year?
Sébastien Bourassa: Yeah, very good question. So for sure, yeah, we brought back the manufacturing of curved stairlift in North America in the last – since the acquisition of Handicare. So, now we are fully manufacturing in Toronto with the curved stairlift with the distribution of straight from Canada or from the U.S. depending where is the customer. And this scenario where we could be better, yes, we have 11% organic growth in North America. I would say home elevator has been maybe the best segment out of that. Unfortunately, we don’t disclose the sales per product, but definitely, stairlift is an area where we are good. We have very good design, good products, and this is something in North America that we wish to be better in the future.
Michael Glen: And can you just give some idea like what do you need to do better in stairlift? Is it marketing? Is it adding dealers? Just trying to get some sense as to what you can do better to boost market share there?
Sébastien Bourassa: Unfortunately, it’s always very important for our dealers. We’ll definitely to give them some leads to add them to seller products. I would say that’s a very good answer, a good way to support them on that, so that we can have more space.
Michael Glen: Okay. And then on elevators in North America, you just gave an indication that it was the better performing product in the period. Are you seeing any change in demand patterns out of U.S. buyers? Have you seen any softness in the market just given some of the housing data that we’ve been seeing?
Sébastien Bourassa: I would say it’s too soon to talk on that. We don’t receive cancellation of project. We see with our configurator, co-builder, the normal activity coating is still quite good. The number of drawings people make is good. But don’t forget one thing. We are lucky. We’re in a good industry, the aging population, whatever. When you’re aging, you’re aging, you need to stay at home. So, you will probably do the exclusivity product first before you do some other luxury, it’d be expensive. So I think this is good. Architect, contractor, or professional is one of the things we’re quite strong with working on these with them. The density of the population, there’s a lot of townhouse in North America, 3, 4 floor. So it’s not just a pure aging that we’ll think about putting an elevator. So I would say from now, again, it’s too soon to talk, and the person who has worked to put in the elevator just got his permits, even though the economy was uncertain in last 2, 3 months. I think we’d probably continue with this project. So far, no cancellation activity is good. So maybe, Steve, do you want to add something?
Stephen Reitknecht: Yeah. Hey, Michael. Just to add on this, our backlog remains very strong and we have quite a few direct stores in North America, not just in the U.S. That give us really good insight into what’s happening in the market, because they’re booking jobs out anywhere from 6 months to 2 years, right? So, our backlog has actually increased at our direct stores, so that gives us really good indication that the market is still healthy. I mean, we do see the same headlines that you’re seeing, but in our business and the shortage in housing and the products that we’re selling, we’re still able to build our backlog right now. So, sort of despite that noise in the headlines, we still feel very positive about what the future is going to bring.
Michael Glen: Okay. Excellent. Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Justin Keywood from Stifel. Your line is open.
Justin Keywood: Good morning. Thanks for taking my call. Nice to see the results. Just a question on the guidance, maintained adjusted EBITDA margins of 17% to 20%. I’m just trying to understand that a bit, because 18.5% in Q1 and the mention of most of Savaria’s products being USMCA-compliant. Is that just being overly conservative the guidance? Is there any anticipated headwinds that we should know about?
Sébastien Bourassa: Very good question, Justin, and good morning. In the last few months, there has been drama one week after the other. You have no idea how much time me, JP and Steve, and the team have worked on a tariff situation. We had tariff, no tariff, there’s a deadline, no deadline. Right now, again, it is USMCA-compliant. Are they going to renegotiate the agreement in the next year or so? I think nobody knows when it could happen. But, I think, it’s just extra conservativeness. Again, I don’t like it. We like to have a good budget, and then we have said that the target has always been 20% of Savaria One. We maintain that. But because of the economy, tariff situation, we keep the bracket. And, I think, as we would go during the year, if the situation remained the same, for sure, we’ll try to narrow down EBITDA guidance. But for now, yeah, we have decided to keep it a bit wide to be conservative.
Justin Keywood: Understood. And then just on M&A balance sheet, obviously, pretty healthy, 1.5 times. We saw the tuck-in deal in Western Canada. Could you just describe the pipeline and is there an opportunity for additional M& A or do you think you’re going to be a bit conservative just given with everything that’s going on?
Sébastien Bourassa: Again, I think, our phone line is always open for acquisition, okay, we visit. And it takes time, right? So, I think, for sure, tuck-in is always key. Again, we can absorb that without too much effort, okay, especially after a Savaria One structure. So definitely dealer, we have done that in the past by one or two be very selective. So, again, could we see some more tuck-in this year? Like, last year was made a very strategic product that is very complementary. Now, we’re fully manufacturing in-house in Toronto, we are going to have a growing the size of Matot this year. So, we need to continue to do a small tuck-in. I think that’s something that will help also for organic growth, right? So, yeah, let’s see the next few months. If we are able to do somehow, we’ll see, the phone line is open for sure.
Justin Keywood: Great. Thank you very much.
Operator: One moment for our next question. Our next question comes from the line of Frederic Tremblay from Desjardins Capital Markets. Your line is open.
Frederic Tremblay: Thanks. Good morning. Just with what we’re seeing with the trade dynamics in the U.S, I was wondering if you had any comments on the competitive environment in that country, especially as several competes with some local manufacturers there. Have you noticed any sort of changes on that front or no meaningful changes so far?
Sébastien Bourassa: It’s always a bit difficult, Fred, because we are the only public company into accessibility. So, I think, it’s the same competitive environment. Again, we are lucky it’s a good industry. There’s good competitor. We all respect each other. So I would say there’s no big change of dynamics into the industry. And, I think, we are definitely the most active, at least that’s what I think, by bringing new products, making tuck-in acquisition, doing more things for dealers. So, I think, that’s why Savaria remain a great partner, because we bring value to a dealer, right?
Frederic Tremblay: Great. Moving to Europe. Obviously, there’s been some efforts on margin improvement there lately, which have been successful. I was wondering if there’s any additional potential margin upside coming from the new products that you’re introducing over there and maybe your thoughts on how that can contribute to both revenue growth and margin going forward.
Jean-Philippe De Montigny: Yeah. So, I mean the Luma and the Multilift, right, Fred? Just to be…
Frederic Tremblay: Yeah. The Luma and any other product that you would introduce in Europe in the next year or two as well?
Jean-Philippe De Montigny: Yeah. So to answer your question, yes. So those products come in with – they’re going to be margin accretive, right? So they have good margins, because as you may remember, so we’re fully integrated vertically. So we make the products almost from scratch. So, we get the manufacturing margin, but also margin as we distribute it in Europe. So, yes, those should help. We also have still a number of initiatives to improve the margins in Europe, right? Whether it’s in our sales and marketing costs or sometimes the products that we’re continuing to innovate even in our stairlift products, and we have pretty large opportunities coming up. I won’t reveal the details, but it will come later this year. But, yeah, we have a path to increase the margin still over there.
Sébastien Bourassa: Definitely, JP. And Fred, the one-stop shop has been a key in North America. That’s why our dealer likes to work with us in Europe. Before, we just have a stairlift now with Handicare and Garaventa. We have inclined platform. Now with Savaria, we have the porch lift. We have the Luma. We have the Vuelift. And, again, you can imagine that all new R&D products we are going to launch are going to be worldwide from the day number one. But, I think, the catch up game to have the one-stop shop in Europe will finish in the next year, and then we should be in a position to have growth again in Europe.
Frederic Tremblay: Great. And last question for me. Apologies if I missed it, I joined a little late to call. But on Patient Care, can you talk about the backlog there and maybe your thoughts on your efforts to sell like a full package? I think you were calling it selling the room. Maybe just an update on how that’s going.
Sébastien Bourassa: Thank you, Fred. You did not miss Patient Care question, you’re the first one to ask. So, I think, yeah, Patient Care, definitely, the backlog is good, the backlog is high. It’s always a bit lumpy from one quarter to the other, but right now, we are going to get some growth this year and for sure. Like, again, that’d be the one-stop shop, really we try to sell the bed, the mattresses, and the ceiling lift, and, sometimes the floor lift as well. So, definitely, we have a good product offering, and this is something that over time we want to continue to expand, because we have a good sales force. We have 50 sales rep in North America. We knock on a lot of doors. So, definitely, if we have additional products to sell that that can be beneficial.
Jean-Philippe De Montigny: And maybe just one or two things to add, Fred. So in the last month, we refreshed our case goods line. So we have a partnership where we have a set of brand new case goods, which is helping to sell the room. I think our beds, we don’t talk about it much, but our beds, we keep innovating in the beds. We have some incremental improvements and we’re still working on more major improvements. One thing, I cannot – I don’t have the specifics, but I know a number of our competitors import beds from China. Okay. So, just keep that in mind, it may help us, right, because of the tariff situation. So, our beds are still strong. So in terms of selling the room, like owning the room, like you said, we still have ways to go. But, we feel good about what we have right now. And with the new ceiling lift, new case goods, decent deadline up that we keep improving, I think we’re already making good progress.
Frederic Tremblay: Super. Great. Congrats on the quarter.
Sébastien Bourassa: Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Zachary Evershed from National Bank Financial. Your line is open.
Sébastien Bourassa: Hi, Zach.
Zachary Evershed: Good morning, everyone. Congrats on the quarter.
Sébastien Bourassa: Thank you.
Zachary Evershed: Could we jump into the details of that planned CAD 30 million facility expansion? By the time that you’re bringing that online, do you think that you’ll have enough backlog to instantly fill it, or will it be more of a slow ramp with shuffling of capacity from different locations?
Sébastien Bourassa: Well, Zach, again, we’re not repeat a bit. We look on the mid- to long-term. Right now, our footprint worldwide is 1.50 million. This is going to bring us to 1.1 million square foot of manufacturing potential worldwide. And, now, if we look at the next 5 years, we’re in a growing business. We’ll have more additional volume. We like to make the acquisition and, example, the Matot, we bought the line of product. We brought it back within our footprint. So, I think, in the next few years, there will be enough project, okay, that we can use this space in the U.S. and continue to have a good footprint in Canada. So it’s not that we’re going to move everything from the U.S. to Canada. From Canada to U.S., now we want to manufacture more locally, rebalance a better supply chain. Example, we have opened in Mexico to rebalance with China and Mexico, but that’s the same with the U.S. We really want to rebalance a bit North America that we have capacity for the future. I think that’s the key message. And regardless of tariff or not, what will happen next year to manufacture locally, I think it’s always a benefit to be closer to your customer. And, I think in the CAD 30 million, yes, there’s a bit of manufacture of the building that we are expanding 55,000 square foot, and that’s our own buildings. That’s always good. But there’s some machinery as well because we like to make parts by ourselves, we like to be vertical integrated.
Zachary Evershed: Good color. Thank you. And then just quickly touching on the Western Elevator acquisition. Could you tell us about how that came about, whether it’s a standard playbook and what kind of multiple you’re paying for tuck-ins these days?
Sébastien Bourassa: Thank you. No. I think, right now, we have approximately 30 direct store worldwide. So, again, that will be number 31. So I think, yes, the playbook is, I think, quite well established, okay, what we can improve on the short-term to have a better synergy and to make sure we can leverage on that we have the same practice a bit across all our direct store. So, definitely, the team is very, it’s a well-known game, so I’m not worried about the game plan. And, also, what’s nice is that the team over there is very stable. The two owner are staying with us for a certain time, so I think that’s very positive. So there will be very good stability. So that will be a bit of my answer.
Zachary Evershed: Thank you very much. I’ll turn it over.
Sébastien Bourassa: Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Jonathan Goldman from Scotiabank. Your line is open.
Sébastien Bourassa: Hi, Jonathan.
Jonathan Goldman: Hi. Good morning, guys. Thanks for taking my questions. Really nice quarter. Most of them have already been asked, and I apologize if I missed this because I joined late. But really nice margins in the quarter, 18.5%. It looks like a record for Q1 by at least 200 basis points. I think the original Savaria One target was for 20% EBITDA margins. But how are you thinking about that target, maybe in the mid- to long-term given the results you just had and all the initiatives that are still ongoing?
Sébastien Bourassa: Jonathan, very good question. But, I think, now the last 12 months, we’re at 19%. So, I think, the 20%, we can see it, I think, that’s definitely a target. And, I think, for the Savaria 2.0, we need to wait a little bit to set up the new bar. But, definitely, you can see that once you reach 20%, if you’re able to bring additional sales. But, I guess, we should be able to continue to expand a bit on that. But, I think, we need to wait a bit to make a new commitment.
Jonathan Goldman: I’m sure JP has a bunch of initiatives to go.
Jean-Philippe De Montigny: Yeah. I’m going to speak with you. I think, Jonathan, you should look at our business, right? Like some parts of the business are more vertically integrated than others. So you can imagine the more we go, the more we want to drive towards that. So, where we have more vertical integration, like in North America, we have better margins. So that’s a bit how we’re thinking about it.
Jonathan Goldman: No. Fair enough. That’s it for me. I’ll get back in queue. Thanks for the color, guys.
Operator: One moment for our next question. Our next question will come from the line of Michael Glen from Raymond James. Your line is open.
Sébastien Bourassa: Hey, Michael.
Michael Glen: Hey. Just wondering if you have any view or any of the volume that you saw in Q1 was related to some customers buying ahead related to potential tariffs.
Sébastien Bourassa: A very good question. But, all our products are really custom made. Okay. So, again, this come from a true order that it is designed for us with the curved stairlift. So except some straight stairlift that you can maybe stock a bit, but I would not see a massive spike on that. But, I think now people have really take, they have taken delivery of what they were supposed to take. Again, is there maybe a million more that people took? Maybe the answer is yes. But it’s not dozen of millions because, again, it’s difficult to stock, okay, too much custom product or to pull too much forward. And we still have a good backlog. So it’s not like we have ate everything in the first quarter. So I don’t think it was that.
Michael Glen: Okay. That’s a great explanation, Sébastien. Thank you.
Sébastien Bourassa: Thanks.
Operator: Thank you. [Operator Instructions] And I’m not showing any further questions at this time. I would now like to turn it back over to Sébastien for any closing remarks.
Sébastien Bourassa: Well, thank you very much and thanks to the analysts that followed us. I think well the story. Your reports are good. You have good questions. So thank you very much for that. On that, I think we had good results. I think that’s pretty clear to all the documents. But any question, but you can always come see us today at the Annual Assembly in Montreal at 11:00. Otherwise, we’ll see you there in Q2. Thank you very much.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect. Everyone have a great day.